Martin Ziegenbalg: Thank you and good morning and a warm welcome to everybody out there. It isn’t that long ago that we have been together in this round, but this time around, it’s on the official set of Q1 2020 data. And I take it, you have the presentation we sent out in front of you. As announced, we’ve got Frank Appel, the group CEO; and Melanie Kreis, the Group CFO, here with us. Usual procedure. We have got time for Q&A afterwards. And with that, over to you, Frank.
Frank Appel: Yes. Thank you, Martin. Good morning also from my side. Thank you for joining us this morning. So I can go straight away, I think, in the presentation. Page 2 is actually summarizing very well where we stand at the moment. The key numbers are definitely a strong sign of our fundamental strength and our broad portfolio of our businesses. We see at the moment very well from our colleagues around the world that they are really delivering our purpose nicely, and we have very good procedures in place, aligned around the world, but also in respective countries to protect our people. That enables us to deliver great service to our customers. Unfortunately, the visibility going forward is still difficult despite that we see first signs of improvement. Important is, I think, that we have pretty well, as you can see from our operational cash flow, Melanie will talk about later on, we have managed pretty well our liquidity. On the next page, you see what we have received from our colleagues all over the world, that they are really excited, on one end, to really help others to keep the world moving, and on the same side, are well equipped and prepared to safeguard their own health. So that’s – if you run a company for so long as I do, it’s really rewarding to see the energy level and the commitment of our workforce around the world. And that is not in just in one country, it is all over the world. I recently handed over virtually the CEO awards from last year, which we usually do in a big event internally. And I talked to people, starting from Ghana to India, Canada, Latin America, Europe, Asia, all over the place. And what they all said is we are very committed, and we are doing our utmost to help our people, but secondly, to help our customers to get things moving in. And that’s great to see. So if I look into how things are progressing, on Page 4, you can see the volume development of our P&P and Express. We have highlighted a couple. So you can see here, as we already communicated, the mail volume, particularly the direct mailings, are declining. As you see later, first-class mail is still very okay. But of course, not surprisingly, people, if their stores are closed, they don’t advertise. The opposite is visible on parcel. If people can’t buy on high street, they buy online. It took a couple of weeks until the people really changed. Not surprisingly, the first two or three weeks, people were at home watching more of the media, what might happen. And after three weeks, they normalized somehow and said, okay, now I have to fulfill my needs, I buy now online instead of off-line. Express, you see actually what we have told you already before. China, after the lockdown was lifted, has recovered pretty well with strong volumes. In week 17, you see a dip, but that was intended by us because we had too much volumes and we had to stop picking up. Otherwise, the outbound flying has been overwhelmed. In Europe, you see first signs of recovery, following a pattern, a little bit slower than China, less sharp, but what we can observe is that, that is probably a similar pattern, as we said already before. And Americas, we believe will follow next. On next page, you see how we are doing so far in the quarter. I think we have our strong footprint across the divisions. We are definitely benefiting from B2C, and of course, we have a very solid balance sheet with good liquidity. The measures are clear. Of course, we focus, first on all, on people, then our service. But nevertheless, we have, of course, stopped spending discretionary spend. But we have so far weathered the storm quite well by just doing a hiring freeze. We believe that the offer of lowering is also a good concept which has Germany embedded for, and some other European countries for quite some time to keep people on board, prepares you well for after the crisis. In the divisions, in P&P, it’s continuing what we have started. Tobias and his team are doing a great job in trigger – in leveraging all triggers we had, being on the yield side or indirect or direct costs. That has worked well. That’s the reason why the profit improved. Express has still a pretty good operative margin despite, of course, the imbalance in the network hurts us – in a network, and of course, also the disappearance of commercial lift has negative impact as well. DGFF, of course, the volumes are down in airfreight, equally on ocean, even more pronounced, of course, on airfreight, and of course, that hurts us on the margin at the short end. But of course, we are now adapting to that by ordering more charters for our needs. Supply chain, mixed picture. Some industries are trending up. Grocery and life science, others are down, fashion and automotive. And therefore, the picture is mixed. Actually, that’s interesting. Anyway, what we learned this time, this is not a normal recession. It’s a mixture of a recession and a disruption and the discontinuity, and that you see visibly in supply chain. Nobody has expected such a surge in – or increase in volumes for some sectors. And of course, nobody anticipated a full stop of certain other sectors. And that is unique. That’s the reason why the prediction is also very difficult, not only for you, but also for us because they are in the curve, discontinuity is different from a normal recession, which makes the situation more difficult to predict. E-commerce solutions, we had a complete shutdown of India, more severe even than in any other country. And of course, that had impact on our business there. On the other side, we are benefiting strongly in Europe from the B2C, also in Southeast Asia. What happens next or will it be our plan on short term? I talked already about midterm. I think we have to help to get the customers back into business somehow. And of course, we have to prepare ourselves for potential second wave. Even if that’s not clear, if that happens, maybe vaccines will be early enough or the social distancing will work longer and more consistent than we might fear, but of course, the midterm focus will be to help our customers to get the business up and running, and secondly, to protect us against the second wave. Long-term strategy, the clear news here is we don’t need new strategy. The only thing will happen is that the execution will be accelerated, particularly on the digital front. That brings me to on Page 7, to the group revenue. As I already said, P&P Express are up. The DDGF not surprisingly is down, it has less volume. Supply chain is year-over-year, even if you make it organic, up, but, of course, see some impact. And e-commerce solution, of course, is a mixture of up trading and the impact we have seen in Spain and India. On the group EBIT level, on Page 8. If you just exclude the StreetScooter from both years and the China supply chain sale, we would be more or less flattish back in the first quarter which shows the strength of the portfolio, including all COVID impacts. So what you see on the third right column, the bar, this is wrong, it’s not excluding COVID, it includes actually COVID-19, but excludes StreetScooter. So – and if you take that, we are more or less on the same level. That shows the strength of our portfolio despite what we had to digest, €210 million negative impact, which is good. Of course, 2.5 months, we’re hardly impacted, so therefore, that’s not a given forever, but it’s a strong sign of our strength. If you exclude the COVID-19, it’s where we would be, even up year-over-year. On Page 9, I don’t have to talk too much about that. That’s an explanation or – a visibility of what I’ve said already. P&P is doing well, going up with – excluding COVID, even more. Express will be up year-over-year, excluding COVID. DGF would be on the same level. Supply chain was slightly up. And e-commerce is anyway up already, including any of COVID impact. So overall, I think a very healthy portfolio we have. And of course, it’s visible that the broad portfolio in such a crisis helps, and that’s a real value of these different divisions. On Page 10, more detail on P&P. Mail Communication is stable, but that’s also now increasing volumes in e-commerce, because Packet Plus which is one product for lightweight, is in that as well. Revenue is nicely up due to the yield managed. Dialogue Marketing is down. On post and in parcels, we see a good development. And it – of course, it increased significantly at the end, but a very strong year as well. So overall, we are probably at the upper end of what the predicted volume decline has been because that’s mainly driven by the last two weeks of March. Express, still solid development on shipments per day, even better on revenue per day. That means that the yield management is working. So let’s now see what will happen when more and faster Europe will come back, the better it will be for the further development. As we already talked about, DGFF not surprisingly, volumes are down on both, but GP is much better due to the extreme tight market. We were able to convert at least some of the price increases into profitability on the airfreight side. Ocean is under stress. But let’s see if things are not normalizing, somewhat, we should see a better development on ocean trade because capacity is there. Supply chain, a mixed picture, as I said, we have very healthy business and we have challenging business. But overall, I think the flexibility has stabilized. The profitability in supply chain overall, ESC as well. Some very good development in France and some challenges in Spain and India in particular as the hotspots. In the UK, we also see good development. And that’s more or less the summary of all these developments. So overall, I think we had a decent first quarter and we have taken the right actions to stabilize the situation. So with that, I hand over now to Melanie for more financial detail. Thank you.
Melanie Kreis: Yes. Thank you, Frank, and hello also from my side. I’m looking at the group P&L on Page 15. Frank already mentioned the most relevant points on revenue and EBIT. Again, from my side, I think on those two lines, the important message is we still had growth on the top line in the first quarter despite the developing COVID impact. And on the EBIT, obviously, at first glance, it looked like a significant decline. That is really due to the positive one-off effects of €330 million in the first quarter of 2019 and the negative noncash StreetScooter impact of minus €230 million in the first quarter of 2020. If you take those onetime effects out, you’re already on a level playing field. And then as Frank showed earlier, we had good underlying EBIT growth, around €200 million, but then we had the negative COVID impact of €200 million offsetting that. I think the rest of the page is relatively unspectacular. Financial results are pretty stable. On the taxes side, in line with our expectations, we had a tax rate of 24%. And – given that we have less profit before tax, the tax line in absolute terms came down. So I would say, no surprises in the lower part of the page, which takes me to a very important slide, Page 16, the cash flow. So first of all, as background, due to seasonal patterns, we always have a negative free cash flow in the first quarter. That is what we see every year. When you then look at the overall development, we are very pleased with our free cash flow development in the first quarter. Why is that? So when you look at the middle of the page, at the operating cash flow, you can see that we tripled it from €250 million in the first quarter of 2019 to €750 million. In this OCF line, neither StreetScooter nor the positive M&A effects from Q1 2019 play a role. So I think this is really a good approximation for the fact that the underlying business is in a very strong shape. And what is particularly pleasing is, when you look at the changes in working capital line, it is noticeably better than what we saw in Q1 2019. And one key element in here is the very good collections development, which is obviously, in the current situation, a top priority for the finance organization. The other number which is interesting is when you look at the net CapEx line, you can see that net CapEx is pretty much on last year’s level. I think there are two important points to be mentioned here. The first one is that, whilst we have naturally looked at all our CapEx projects and we have looked for opportunities to delay and phase staff, given the strength of our balance sheet and the way how the business is developing at the moment, we are in a position to take a balanced approach. So we are, of course, very focused on liquidity and short-term management, but we keep investing into the future of the company. And I think we are in a good position to really take a sensible and balanced approach here. The second interesting thing to mention here is we didn’t have a 777 impact in the first quarter of 2019. The big cash out for the 777 started in April 2019. In the first quarter of 2020, we had a €66 million impact from the 777, which is less than what we had originally assumed, because we were now able to do a very attractive structuring for the financing of three of the 777s for the current year. And that led to parts of the funding coming through a leasing accounting structure. And that is directionally going to reduce the €500 million we had indicated for 777 CapEx to round about €300 million for the year 2020. So putting it all together, when you look at the last line on the slide, you can see that we have taken out the €650 million cash-in from the China disposal in Q1 2019. And if you then look at the comparison, free cash flow Q1 2019 underlying to Q1 2020, you can see that free cash flow despite COVID is actually up €0.5 billion, which I think is a very encouraging start into the year. That takes me to Page 17, a slide which we had shown to you in a similar shape and form before. There’s nothing material new here. At the end of the first quarter, our cash and cash equivalents position stood at €2.6 billion. We did not utilize our syndicated credit facilities. So we feel that we are in a comfortable position. But of course, that remains a top priority with the organization overall. We do a very detailed cash flow steering. So far, we are very happy with the development. But I guess, like everybody else, we do expect that there may be an impact in the weeks to come, so we’re watching this very, very closely. That takes me to a topic which is at this point in time a bit more challenging than in normal years, forecasting and guidance. So on Page 18, I think you have a good understanding of what happened in the first quarter. Good start into the year. February, China, COVID impacts in Express and global forwarding. And then in March, €150 million impact across all the divisions, also in the other regions. So where do we stand today? As Frank already mentioned, when he talked about the volume developments for Mail & Parcel and Express, we still see mixed signals in the divisions. It’s too early to talk about a clear pattern. Volumes in most segments remain below normal than last year. But there are first indications that the decline is bottoming out. For example, with regard to the decline in Dialogue mail volumes here in Germany. Given the general high level of uncertainty, it remains to be seen whether these developments are now really the beginning of a sustainable trend. Whether they turn out to be the first phase of the recovery that we all hope to unfold, too early to tell. And that is why, now turning to Page 19, we don’t feel in a position yet to issue a new guidance. There’s still too much uncertainty and volatility around us. We have the same open questions like everybody else and now have to see what patterns evolve over the next week. But there are also some certainties for us going forward. Whatever shape or form the recovery will eventually take, a V, a U, or L, you name it, logistics will be an essential part of any recovery. And we as a group are extremely well positioned to serve our business customers to save – to supply consumers around the world. And our strong liquidity and balance sheet, here, again, will play an important role to really capture the opportunities which the recovery will bring. And that is also the foundation why we are upholding our guidance for 2020 – for 2022. 2020, a lot of uncertainty, but there will be a recovery eventually. We will get to a new normal. And based on our strengths, we are quite confident that we are then going to get back on track. And on that basis, we are maintaining our guidance for the year 2020 – and that already, sorry for the year 2022. So that already takes me to the last page, the wrap-up. Obviously, the virus is still out there, so we remain extremely prudent. The key priority for us remains on protecting our people and that’s the basis for keeping our operations up and running, as we have successfully done so far. That is then, of course, the basis to keep our customers operating. At the same time, we are getting prepared for the recovery, whatever shape it will ultimately take. But of course, we’re also preparing for a second wave and future deteriorations, which will hopefully not occur, but nobody knows. So to sum it up. With our strong balance sheet and excellent strategic position, we will get through the current storm. We will try to find the right balance between taking the necessary short-term adjustments but we will do all that with a long-term focus in mind, in line with our clear strategic framework. So much for the overview. And I think with that, over to you, Martin, for the Q&A.
Martin Ziegenbalg: Right. Thanks, Frank and Melanie for the focused rundown. And operator, if you initiate the Q&A round, please.
Operator: [Operator Instructions] And first up is Daniel Roeska from Alliance Bernstein.
Daniel Roeska: Good morning, everybody. I hope everybody is well on the call with your families. Maybe number one, Frank, if I could ask you a more broad question. You mentioned that you kind of are distinguishing between the disruption and the recession, which is, of course, difficult for every business unit right now. But could you elaborate a little bit more how you would think about your different business units in a recession? So as we move beyond the disruption hopefully, how – what are the key priorities? And how would you differentiate between the business units in terms of what’s important for them in the upcoming recession that is taking hold? And secondly, maybe a little bit more detailed on parcels and P&P in Germany, the charts you showed may indicate that there was a little bit of a spike in parcel deliveries in early April. Would that be fair to say there may be a catch-up effect here? And would you expect kind of the high level of B2C deliveries to continue or kind of soften? And could you comment briefly on the profitability in the mix shifts kind of between B2B and B2C in the German parcel unit? And lastly, I think you also touched on it concerning Express and yield management. I think on the last call we had, you said you wouldn’t want to take a lot of price in Express. But how would you handicap the opportunities you have to actually select the shipments coming on to the Express network? And how should we think about that yield management effect over the next couple of quarters? Thanks.
Frank Appel: Yes. So these are all difficult questions. So the first, on the recession. If we go from a disruption just into a recession, I think in P&P, we have not seen a massive decline in past recessions. Then we will see a decline, but people will still continue to advertise in the e-commerce structural change. The only idea I have, it will be accelerating, but not to the previous past, but not decline. So in P&P – and we showed that always that the Post was on the bottom right corner, when we showed impact from GDP and e-commerce. It is a pretty resilient post business which is not very much impacted by the GDP growth. And at the moment, it’s a disruption because shutdown and then passes, I talked earlier about. Express will definitely benefit as long as there is limited capacity on the market on passenger airplanes because there we will see uptrading from airfreight to Express and downtrading to ocean, which we typically see also in a recession because people slow down their supply chain. But to refill then by Express, that’s not unusual either. On DGFF, it’s very much for the rest of the year unpredictable because we should not assume that long distance traveling with passenger airplanes will get to normal in the second half. Maybe we will see first signs that some travel is happening again, but that’s probably longer term. And of course, in this situation, air freight will, of course, is important, in part how you manage the charter somehow. Ocean freight will probably normalize faster. And in supply chain, I think, supply chain – and that’s why maybe some of you said, even in the first quarter, supply chain is more vulnerable. That comes from a disruption. If the disruption goes out, we have a normal recession, the supply chain business is pretty resilient against that because you either have more inventory and stock in the warehouses, but we had really a complete shutdown of activities. E-commerce solutions will continue. If a lockdown is over, the structural trend of e-commerce will continue. So overall, most business has probably more upside than downside. So B2C, if there’s a structural change, it’s too early to say. I think there will be an acceleration of what we have seen already before, because even more people have now learned and have started to order, but it’s too early to say how big that impact will be. With regard to the profitability, it’s very difficult to say that in the network business as the half we have always been more oriented to B2C than B2B. In the B2B business, I think, will come back but I don’t expect neither a very much positive or negative impact. So on Express, the last question. What was it, Express?
Melanie Kreis: Yields in Express.
Frank Appel: Yes. Yields, so you can call it selection of customers or yield management, at the end of the day, you have to be very cautious not to damage the business of your customers, and – because they are expecting from us a consistent, they know that we have a fixed network. And therefore, you should be very cautious to really now, on a short end, at least, for Orange, I think it’s not a sustainable strategy. And in Express, we will not do that. We, of course, will recover certain costs. We have extra that we will not squeeze for Orange. I think that’s – that would be not long-term. And DGF, it’s different because everybody knows that the markets are completely distorted. And therefore, you have to charge the customer to you pay for yourself. And of course, that’s very clear that this is very volatile.
Daniel Roeska: Thanks.
Martin Ziegenbalg: Daniel, those were the three questions, right.
Daniel Roeska: Absolutely and great job in the uncertainty.
Martin Ziegenbalg: Good, turn over to the next one, please.
Operator: Yes. And the next one is Tobias Sittig from MainFirst Bank.
Tobias Sittig: Yes, thanks for taking my questions. Two for me, actually. Could you provide a little more granularity on the Express volumes that you’re seeing now? So is the e-commerce share increasing? Or is it a lot of ad hoc business that wouldn’t normally be Express business versus what’s sort of the classical B2B volumes are doing? And secondly, a bit hypothetical but basically without COVID and without StreetScooter, you would have been trading at above €1 billion EBIT in Q1, and you were aiming for €5 billion for the year, and Q1 usually was one of the stronger quarters in the year. So that doesn’t fully add up for the old €5 billion target. Can you provide a little bit more insight on what particular cost effects you had expected for the remainder of the quarter, yield effects coming for the remainder of the year coming into force that would have lifted your results as the year goes? So what should we be looking at in terms of cost improvements as the year goes across the divisions? Thank you.
Frank Appel: So maybe I’ll take the first. Melanie, you take the second. So the first part of your question, as you said. But I can only tell you that what we have outlined there, we were exactly on what we expected for the first quarter. So – and of course, we have looked into our plans before. So if we had delivered what without COVID the number, we had been exactly on the right path. And of course, we had expected that certain numbers are having more traction in the second half in the final quarter. So we were very much in alignment with our expectations. So cost measures now to talk about what has been planned before the COVID crisis is, I think, a little bit too much to look into the – stand and do something. I would refrain from that because I have not looked into it, but the original plans were even since about 2.5 months. I would not even know what we discussed at that time. So I think that is completely – what I can say, Tobias, is the first quarter, without quoting us exactly, excluding StreetScooter was exactly on the right path to deliver the numbers.
Melanie Kreis: And maybe on the Express sector shift. So I think as of generally that was also a bit back to the disruption discussion. At the moment, we have a very special situation in the Express network. So I mean, overall, volumes are down, but with pronounced imbalances. So we have a bit of a torturous network with missing volumes in some parts and too much volumes in other parts. And of course, the biggest distortion is outbound China. There, we clearly see at the moment a natural mix. We naturally have a very high share of medical supplies, PPE stuff. We also have quite a lot of tech business. But there are other sectors which are, of course, at the moment severely impacted. So I would say, overall, at the moment, it is still quite out of whack. And that is why we have also seen in March the negative impact in Express because of this imbalance and lack of volume in certain parts has led to extra costs. And as Frank already said, we are trying to recover part of the costs through surcharges, but in a sustainable way, not to damage relationships with customers for the long term.
Frank Appel: Tobias, helpful?
Tobias Sittig: Okay. Thank you.
Martin Ziegenbalg: Good. Thank you. And next caller, please.
Operator: Yes. Next up is Matija Gergolet from Goldman Sachs.
Frank Appel: Hi, Matija.
Matija Gergolet: Yes. Hello and good morning. Three questions for me. Firstly, I’ll take the opportunity to ask you also about your thinking about the dividend. Free cash flow has been better than last year in Q1. You said that was something that you will consider. But what’s your latest thinking about the dividend proposal for this year? Second question would be about CapEx. I’m not entirely sure I understand what you mean by CapEx phasing. Now do you mean that there could be some CapEx delays in, so say, later years, 2021, 2022, or something else? And then thirdly, just on air freight. So there was like an increase in the gross profit per tonne, quite nice, of 11% in Q1. Is that because you had like in place already some capacity, basically bookings, and therefore, you could exploit that? Or is it sustainable, that type of, say, improvement in gross profit per tonne, particularly given the tight markets?
Melanie Kreis: Okay. Yes, three good questions, Matija. So I mean, first of all, on the dividend, we had a good year 2019, which is why the Corporate Board and the Supervisory Board have endorsed a dividend proposal of €0.25 per share. The ultimate decision on the dividend is taken by the AGM, which, under normal circumstances, would have taken place tomorrow. We are at the moment very closely following all that is happening around AGMs here in Germany. We now have the first successful virtual AGM, so this seems to be a proven and successful model. And we now have to find the right point in time to decide on the new timing for our AGM where the dividend decision will ultimately be taken. In terms of CapEx phasing, what I meant there was that, whilst we have naturally also looked at opportunities to save CapEx, and we have clustered our projects like everybody else has, what could we stop and so on, so that we are prepared to act. At the moment, we have not put a general CapEx hold order into place because we really want to take a balanced approach. We want to continue with sensible future projects to prepare for the time after the crisis. So I think my message here is, we are prepared to react, but at the moment, we’re really trying to steer through this in a very sensible and balanced way. And the last question, on the GP per tonne in air freight. Yes, indeed, that is a very pleasing development what we now saw in the first quarter. And that is indeed due to the fact that we were able to secure capacity – first of all, that we were able to secure capacity, which is not a given, where obviously, our size and the good relations we have with the carriers is helping us. But we were also able to secure some capacity with a bit of foresight early on at still reasonable rates, which are now helping us with good margins, which is something we expect to also continue at least for parts of Q2. I think the interesting question is then really what will happen in the second half of the year, and that is linked to the overall question where we don’t have the answer either.
Frank Appel: But with a market which is in transparent is for good for the forwarders. It has always been. Nothing is worse than before has been predictability. So – and the best is completely unpredictable environment, and that’s what the organization is capable in managing.
Melanie Kreis: And that is what you see in the margin at the moment.
Frank Appel: That is what you see in this particular – in this gross profit development per tonne in air freight.
Matija Gergolet: Okay. Let me just – a quick follow-up on the dividend. Let’s say, there are a lot of, say, unemployment schemes, government support unemployment schemes and government support in the current situation, and some of those schemes basically prevent companies from paying dividends. Have you taken up any of these schemes in any country that will prevent you from basically paying the dividend?
Frank Appel: So the situation is more complex. But conceptually, I would say the following. So furloughing and in Kurzarbeit in Germany and all this kind of stuff, what is the intention and who is paying for that somehow? It’s different. Sometimes, it’s paid by insurance. Sometimes, it’s paid by the government. But the intention is to pay the salary of the people. So the money doesn’t go to the company. The money goes to the employees. And I think that shows that this is not stated. It’s different if you have to ask the government for liquidity. That’s a different game. And definitely, we will not do the second at the moment because we have no needs. And I think that is then the link to the dividend. The link to the dividend is very clear. If we need to – the government to give us money to stay stable, then we have a very different situation to pay the dividend, instead of we take money from the government or from insurance to give it to our employees to keep them employed. For me, that is – that is one stakeholder which benefits, and that’s employees, not the company. So why should I then penalize the other stakeholder which is the shareholder. But it’s different for liquidity. If we are not able to collect enough money to run our business, I think then it’s a very difficult situation. Fortunately, our cash flow is strong enough. Our credit lines are strong enough that we don’t run into that problem, at least as far as we see it at the moment. And we said that last time already, I don’t know what this year brings. But at the moment, we have enough liquidity to operate our business and we don’t need any money from the government. That’s the reason for the dividend overall, we say the same today, as we said always. So nothing has changed, but we don’t know what will be in summer, because nobody expected what happened in the last eight weeks, and it’s still two or three months to go. So I think our focus should stay on collecting the cash and generating, like in the first quarter, a very good liquidity, then we are not – have not the problem number two. Clear enough?
Matija Gergolet: Clear. Yes, now clear. Thank you very much.
Frank Appel: You’re welcome.
Martin Ziegenbalg: Thank you. And the next?
Operator: The next caller is Andy Chu from Deutsche Bank.
Andy Chu: Good morning. Three questions, please, if I may. Just on COVID and the COVID impact, how do you actually calculate that €310 million number for the quarter? How much of that is sort of lost revenue or incremental cost? And then are you prepared, secondly, to give a number for April? And based on that, did you think that actually the Q2 impact for COVID could actually be less than the Q1 €310 million number? And then just a point on clarification, please. In terms of the Express volumes, Melanie, I think you mentioned that Express volumes, maybe TDI volumes are down. Could you just maybe just clarify which sort of time periods you’re talking about? Is it sort of May, April? And maybe you can quantify the sort of level of decline of Express or TDI volume decline.
Melanie Kreis: Okay. First of all, on the technical calculation of COVID, we have agreed with each of the operating divisions, an approach how to do it. It, of course, varies from division-to-division. So for example, in supply chain, we have looked at the sites which are totally closed or where we have a very significant drop in volume activities and have quantified the delta to the normal operation. In Express, we have looked at the trends we have seen in terms of revenue per day to quantify a revenue impact and the extra costs. So, there is a very clear method behind it. I think the problem, and that is why we also said, going forward, we will do less of this is, when you kind of like use the baseline, the trend of the past, as COVID becomes the new normal, this gets more and more difficult. And so I think what we have said now for Q1 is really solid, because we have clear pre-COVID normal state. But obviously, with each months passing, the comparison line gets more and more blurred. That takes me to April, and what was the impact in April and how did we do in April overall. So as expected, and I don’t think surprisingly for anybody, we had a negative COVID impact in the month of April, which was, however, fully in line with what we had expected, and I don’t think it’s a surprising order of magnitude. The reason why we don’t want to continue quantifying things now on a monthly basis is that things are still very volatile. For example, when you look at how things evolved in the course of the month of April, the first half of April was totally different from the second half of April. So, it’s really super difficult to draw any conclusions and forward-looking statements from the number, which is why we don’t want to quantify it, but it was negative, in line with our expectations. And obviously, we also expect a negative COVID impact for the second quarter. And directionally, the second quarter should be at the bottom of the COVID effect. Which takes me to your third question, on Express volumes. So what we had said – it seems like ages ago. Early March, when we did our full-year 2019 results announcement, we said that at that point in time, China was coming back. And overall, Express volumes turned into a positive territory for the first days of March. They have been down year-over-year for the rest of March and for the month of April. And as we said before, we are now beginning to see early indication for a bottoming out. But I wouldn’t declare the trend yet.
Andy Chu: Are you up in volumes in May then? is that correct? Express volumes?
Melanie Kreis: Yes. I think May – really difficult, because what we now just had in the first week of May was Golden Week in China, which led to some distortions. You may have seen that, before that, due to the huge capacity constraints out of China, we consciously took the volume down a bit. What we are now really keen to see is how are the next three weeks, which should be relatively stable also in terms of year-over-year comparison, how are they really going to develop. We may be at a better point in time to see a pattern then.
Frank Appel: So maybe, overall, about – because that’s important how we manage that and what is on my colleagues’ agenda. So, the key objective is, of course, the safety of the people and customer service and then it comes liquidity. But behind all of that is we should gain market share if the things are getting back to normal somehow, because that’s the best base to deliver what we have promised for 2022. To optimize the short-term and say we can take the layoffs here or there and optimize that, I think that’s a very short-sighted strategy. So, I’m less worried about the COVID impact, which might have in the second quarter. I’m much more worried about; can we sustain about our CapEx plans to expand our capacity to be ready when the markets are normalizing to fulfill the needs of our customers and that’s our focus. And therefore, even if we now would know more already about the second quarter, I would say the question at the end of the second quarter I would have is do we have still enough liquidity to continue our investment plans, take opportunities and continue to build the network stronger? And that’s not, have we maximized now or minimized the COVID impact? Because that’s not the priority. The priority is to weather that storm in the best shape possible. And I think this is exactly what we are doing at the moment. And I don’t want to waste time how much was COVID, because I will not know that very soon anyway what is COVID and what is not COVID, because the things are overlapping each other. So that’s what is on the agenda of my colleagues and myself. How we get as strong as possible to the crisis without losing the trust of our customers, not losing our people, because we are not treating them right. And then we will be – we will see a significant improvement after the crisis in our operations, because we are so well positioned with all our operations to capture that potential. We are doing it right now.
Andy Chu: Thanks very much.
Martin Ziegenbalg: Good. Thanks, Andy. And next caller in, please.
Operator: The next caller is Mark McVicar from Barclays.
Mark McVicar: Good morning, everybody. Two sort of linked questions really. First of all, could you just explain why you’ve gone back to the leasing market with the 777s? What suddenly become so attractive versus the ownership model that you talked about when you placed that order? And a sort of linked question to that. I guess the world is fighting very hard to hold on to fighter aircraft at the moment. But do you think there may still be some opportunities to pick up good quality, secondhand capacity somewhere in the course of the next six to nine months?
Melanie Kreis: Yes. So first of all, on the aircraft financing. We had planned on a normal circumstances to use Q1 for a little bit of an in-depth discussion of how we are financing the 777s. We have taken a very creative approach. We have clerical constructions. We have straightforward deals. We now have identified for three of the 777s, very attractive, but hugely complex financing constructions, which, in essence, leads to the prepayments, basically, the half – the first half of the payments being CapEx and being paid out directly, and then the second half of the payments on delivery being done through a leasing construction, which accounting-wise are not impacting CapEx and free cash flow and up-reserving liquidity. So, I think – I do hope that we get to normal times, and we can do a CapEx 777 in-depth tutorial. This is nothing, which was surprisingly now done due to COVID. That was part of our general approach to look for the best and most attractive ways to finance those 14 777s. In terms of general approach on aircraft, I mean, obviously, at the moment, both in Express and in global forwarding; there is a huge demand for our freighter capacity. We have an opportunity here, because as you know, the 777s are coming in to replace aged 747s, where in certain cases, we are now looking at opportunities to hold on to those aircrafts for a bit longer to work through the current air capacity shortage. That’s a nice opportunity for us and we are obviously also looking for potential opportunities, which may come up in the second half of the year, be it from existing cargo carriers. But what we have also seen in previous crisis situations that there may be good opportunities to get cheap passenger aircraft for conversion. So, we’re keeping an open eye for that. I think that is probably something more for the second half of the year.
Martin Ziegenbalg: Mark, anything...
Mark McVicar: Can I just ask? Yes. One very quick follow-up. Could you just remind us how many more of the 777s have you still got to be delivered? And do you think you might choose the very complicated leasing structures for the balance of that fleet? Or are you going to revert to normal CapEx? What’s the thinking on that?
Melanie Kreis: Yes. So, the original delivery schedule was four in 2019, six in 2020 and four in 2021. Of the 2020 batch, we now have three delivered according to plan, three are still to come this year and then the four remaining ones in 2021, and we are now really very openly looking for the optimal way to finance each of those aircrafts. That also depends on where do we actually want to utilize it later on. So, which legal entity is going to be the owner of the aircraft? It’s a very complex, really aircraft-by-aircraft decision. And what we just wanted to flag here today is that, when we still had a guidance out there for 2020, we had told you that there would be around €500 million CapEx from the 777, and that has been reduced by around about 200 due to the new construction.
Mark McVicar: Got it. Thank you, very much.
Melanie Kreis: Yes, great.
Frank Appel: Thanks, Mark. And the next caller please.
Operator: The next caller is Adrian Pehl from Commerzbank.
Adrian Pehl: Yes, hi everybody. Good morning, good to hear that you are in good health. Actually, two quick ones left from my side. Well, first of all, on the volume surge that we see in parcel in the recent weeks. I was just wondering whether there are also more Amazon volumes included in here. I mean, obviously, your plan is a little bit to churn that deliberately to some extent. But maybe they found out probably in the crisis that you are also quite a reliable partner for them. And has there a change to any of your plans going forward with that regard? The second question is a really quick one. There were some press articles on short-term work. You’ve been using – actually, I think it was a rather supply chain. And I was wondering whether you expanded short-time work, either in that division or anywhere else in your operations until that’s – in the last couple of weeks or so. Thank you.
Melanie Kreis: Okay. So first of all, on where is the volume surge in parcel coming from. It is not coming from one or two particular customers. I think that is one of the nice things that we saw a very good growth also from smaller and midsized customers, which has also been beneficial on the yield side. So it’s not due to imbalanced growth with just one or two of the big customers. In terms of short-term labor, I think that goes back to what Frank has already said on our general approach. So first of all, here in Germany, we are using a short-time labor in an extremely restrictive way. We have 220,000 colleagues here in Germany. The number of short-term labor-impacted people is in a very low single-digit percentage order of magnitude. What we try to do first here in Germany is we deploy people in other parts of the organization. We struck a deal with the groups work council early on, so that people, for example, from the supply chain side, where nothing is moving, can be redeployed in the parcel area. And that is one of the reasons why we have only made extremely minimal usage of short-term labor here in Germany. In other countries, it does depend. We are analyzing in a controlled way, what programs are available on a country-by-country level and take a balanced approach here.
Adrian Pehl: Thank you.
Frank Appel: Thanks, Adrian. And next caller please.
Operator: Next up is Sam Bland from JPMorgan.
Sam Bland: Hi, good morning, I have three questions. Yes, I have three questions from me, please. The first one was, there’s quite a large increase in the parcels price/mix in Parcel Germany in Q1, which was maybe odd given, I guess, the strength in volumes is coming from B2C and weakening in B2B. So I just wondered what’s driving that higher price/mix? Second one was, was there a material benefit from lower fuel costs in either P&P or Express in Q1? Or would there be one in Q2 given the lag to the fuel surge mechanism in Express? And then I guess the final one in Express. Certainly, in previous quarters, you’ve been probably able to win market share from some disrupted peers. With COVID-19 going on, how is that looking now during this period as maybe that sort of market share potential accelerated, if anything? Thanks.
Melanie Kreis: Okay. So first of all, on the parcel yield. Yes, that’s indeed pleasing to see. As you know, we have been working on pricing measures in parcel for the last quarters, and we’re increasingly seeing the benefits. Maybe towards the end of the quarter, we also saw this additional boost down from good growth also from small and midsized customers, what I mentioned before. But I would say the big chunk with parcel average price development is really due to the pricing measures we have now taken over several quarters. In terms of Express, yes, we do see a benefit on the fuel side in Express. And at the moment, we see it in two ways. The first one is that, a year ago, we made adjustments to the fuel pricing matrix. And then, of course, we have seen the decline in fuel prices. That is, for Express, always a temporary topic because with two months delay, those benefits are passed on to the customers. And in terms of market share gain, yes, I think it’s too early to quantify that. But I guess one very important effect for us is that we have been able to keep the network up and running all through the crisis, which has, as you saw in the Express numbers, led to some extra costs. So also for the Express network, we use some commercial capacity, our passenger aircraft where we have very creatively now stitched the network together so that we can still operate all locations with dedicated flights. I’m deeply convinced that, ultimately, this is going to pay off and customers will appreciate it. Do we have a quantitative proof yet? No.
Sam Bland: Okay. That’s great. Thanks very much.
Frank Appel: Next caller please.
Operator: Next caller is David Kerstens from Jefferies.
David Kerstens: Hi, good morning everybody. Three quick questions, please, just trying to understand better the dynamics in the parcel business. The over 4,000 new hires since the end of March, are they coming from elsewhere in P&P? Or are they actually new hires? And what does it do to your cost base? And do you then expect that the surge in B2C volume will be increasingly compensate for the decline in Dialogue Marketing? Or is that – does not happen because of the additional costs related to the new hires? Then secondly, with regard to the P&P labor negotiations, are they still ongoing as planned? Or are they currently on hold in the current uncertain economic environment? Or is there still a new pay deal on the agenda this spring? And then finally, a quick financial question. I saw that you took out the €90 million loss for StreetScooter in Q1 2019 in the underlying EBIT growth calculation. What was the full year impact? Or that the majority of the €100 million that you had earlier talked about? Or I think that also includes some other projects. Thank you very much.
Frank Appel: So let me go through that briefly. So these are new hires. Additional people are mainly in delivery, but also some of the sorting centers. Of course, that increases our cost base, but of course, we have significantly more revenues as well. I think it’s too early to finally judge just on the basis of four or five weeks to say what the impact of B2C to the lower-priced – we are losing at the moment, the lower-priced advertising. And I think we definitely will know after the second quarter. And that’s interesting then to ask that question, what does it mean longer term? Is that in a match or is not a match or even positive or negative? But I think it’s too early to adjust that, I have to say. And the unions have not cancelled the contract yet. So the negotiation is delayed, but the units have not – and usually, they had to cancel that end of April to end of May, and they haven’t done it. Do they now cancel end of May or end of June? We don’t know yet.
Melanie Kreis: Yes. So on StreetScooter, yes, we try to give you full comparisons and transparency on what is the core logistics business excluding StreetScooter, which is why we also showed the €90 million negative impact yet in Q1 2019. The full year effect, we didn’t give a specific number. We said it’s around €100 million. So we saw an increase in the cost base in the course of 2019. And we showed that transparently for the quarter, so overall number should be around €115 million.
David Kerstens: Okay. Great. Thank you very much.
Frank Appel: Great.
Martin Ziegenbalg: Thanks, David. And three more caller.
Operator: Yes. And the next caller is Cristian Nedelcu from UBS.
Cristian Nedelcu: Hi. Thank you very much for taking my questions. Three, if I may. First of all in parcel; could you give us a bit of color what’s happening with Amazon volumes in Q1 this year? Secondly, in terms of Dialogue Marketing, you have – you briefly touched on this earlier. But you have around €2 billion of revenues there for the full year. What’s the range that you expect for this year or the potential declines in revenues there? And thirdly, looking at the free cash flow, as we move to April and to the second quarter, what are the first signs in terms of working capital? You’ve mentioned you keep a close eye on that. Are you seeing any more extreme movements there? And should we expect that a similar trend of positive improvement in Q1 to continue for Q2 free cash flow, too?
Melanie Kreis: Yes. Well, what we said with regard to Amazon in early March was that, for the group overall, it’s around about 2% of revenue. For P&P, it’s around about 6%. And that we expect that share to go down as Amazon is building out its own logistics operations here in Germany, which is why we also gave a quite wide range for what we expect for parcel growth throughout the year, the zero percent to 5% range. What we saw in the beginning of the year was that we were really fully in line with that. And so also through COVID, there’s no fundamental structural change to what we expect with regard to Amazon. On the Dialogue mail side, yes, that’s a complex question because even before COVID, we had a special effect here. We had this court ruling in the fourth quarter of last year, which said that certain types of mail can no longer be sent as Dialogue mail, which is why we indicated that we will also see stronger volume decline in mail overall this year, the 5% to 6%, because we expect volume to be lost. But on the revenue side, we said it’s going to even out. So that was already a negative push on Dialogue Marketing before COVID came. We then saw this very abrupt change in March where we had significant double-digit declines. As we said, it’s beginning to bottom out now. But I think that is one of the categories where I’m not comfortable giving a number yet because it’s really too early to tell. With regard to free cash flow, working capital, what have we seen in April second quarter so far? We are quite pleased with the cash development in the quarter so far. And we have not seen any material changes on the collection side, but I would add a big yet there. I think on that as well, it’s too early to declare victory because, obviously, we have to assume that some customers, probably also particularly on the small and midsized side, are going to get into difficulties. So we really have to keep monitoring it really closely, which is what we’re doing.
Frank Appel: Thank you very much.
Martin Ziegenbalg: Thanks, Cristian. And two more callers.
Operator: Yes, sir. And the next caller is Andre Mulder from Kepler.
Andre Mulder: Yes. Good morning. Four questions. And firstly, on Mail Communication, there is unusual increase in volumes. Can you talk about that? Secondly, on air freight, with the belly space largely out, what percentage of that does that represent in the total market? And on supply chain, your exposure to the automotive sector is around 15% of sales. What’s your exposure to fashion? And the last question is on the cash flow. Looking at the statements, there is this notorious item which has a swing of €500 million. Can you spend a few words on that?
Melanie Kreis: Okay. So first of all, on the mail volume increase, I think there are two effects here. The first one, the smaller one is a working-day effect, 0.6 of additional working days in Q1. The second effect is the positive side of what I mentioned earlier as a negative on Dialogue Marketing because of the court ruling and certain mailings can no longer be sent as Dialogue market, but have to be sent as standard letters, with the associated higher price, and so giving us some support on the Mail Communication volume. In terms of air freight value state, yes, I guess the best number, which is generally quoted out there for the market is that half of air freight travels in belly space. I think what is the last month – or the last week have shown is that it’s probably actually a little bit more. And I think that is also true for us. In terms of what percentage of fashion do we have in the supply chain, I don’t know the number because we don’t have fashion as a factor of – in our supply chain – a huge, but a little bit impacting consumer and retail. I think the general statement is that, obviously, fashion has been one of the areas which have been negatively impacted, but this is probably something which is – in terms of impact, not as material as, for example, on automotive supply chain probably.
Frank Appel: And it’s very volatile in the fashion sector, and so...
Melanie Kreis: The fashion sector for numerous reasons even before COVID has been volatile. And so – and then the fourth question, help me, it was on?
Frank Appel: The cash flow.
Melanie Kreis: Yes, but what on cash flow? Sorry, I didn’t get the...
Frank Appel: Andre, the €500 million, what were you referring to?
Andre Mulder: Yes. That’s the other lines which states it was negative €477 million in the [indiscernible] quarter of 2019.
Melanie Kreis: Yes. So that is – when you look at Page 16, the minus €477 million in Other in Q1 2019, that’s what you’re referring to, right?
Andre Mulder: Yes. That’s right
Melanie Kreis: Yes. So that is the impact of the supply chain China disposal. We had a positive impact in the EBIT of net €426 million. That was reversed out because it doesn’t count into operating cash flow. And then the full benefit, the €650 million was then coming in the M&A line, the €648 million. So the €477 million, Other is a reversal of the EBIT benefit of the China supply chain disposal.
Andre Mulder: Okay. Thanks.
Frank Appel: And May – I want to add because these are important questions, and of course, you are asking these kind of question. What will happen to the depot industry? It’s too early to judge. But I think, its, obviously, a good starting point is to think, will new consumers change their mind about these subjects? So on fashion, a clear answer, no. Why we should not – they definitely will not buy as much for the spring season or the summer season as they have done in the past. But after the crisis is over, why should they not buy new fashion? So therefore, that will not change because there is no danger to have more fashion. If you talk about the automotive industry, maybe people are even counterintuitive maybe people say, I can’t travel this year anyway. I have more cash available. And I buy now a car because it’s safer as well to travel by car than traveling in public transportation because public transportation might be a risky area. Tourism, of course, until people really get back to normal is quite way out because they think I can’t touch. So that’s the reason why I think the starting point looking into industry should always come, what kind of psychology effect this dynamic might have on the people behavior. And that’s 100% clear, about professional. I’m pretty sure that after the summer is over, we will be very much back to normal. And then we will not have any significant impact on our fashion business. The cash retailer probably had an impact. And if they survive, they continue to do their business somehow. So it’s very difficult to really judge. And in a – in – but of course, the airlines and – that’s the reason why it’s for – it’s important airlines, until they really get back to normal, intercontinental travel is an issue, and that’s linked to what Mark asked about, should we buy additional cargo airplanes? That’s actually a quite complex exercise. But of course, we have to think about these kind of things, how realistic is that we get back to normal on intercontinental travel or tourist travel. And what does it mean for this respective industry if they are customers of us and how we can actually help them? In other industries, they will be back to normal pretty rapidly. And we have seen that here, are we? We saw no rise in e-commerce in the first two to three weeks. And then we were overwhelmed by the volumes because people said, “Okay, now I have read enough about corona, now I want to shop something.” And that is because they have no personal fear. Their fear is an important element of the whole crisis. And of course, that’s different sitting in an urban transportation or driving your own car or sitting in an airplane or driving to a place. So therefore, I think that’s what is – the jury is still out what it means. But in certain sectors like cash, I can’t expect – we don’t expect that in autumn, people say if for coronavirus, I don’t buy any gloves because I don’t know if there is a next wave coming. So also people have to button up by them somehow, but they will think differently about purchasing a car or traveling some. And that is the exercise which we can monitor even over time what happens because our customers are a reflection of what’s really going on with the consumers one of them.
Martin Ziegenbalg: Thanks, Andre.
Frank Appel: Thank you very much for that question. And machine says, there is one more caller in the line.
Operator: Yes. Now have the last caller in the line. It is Neil Glynn from Crédit Suisse.
Neil Glynn: Hello everybody, thanks for squeezing me on. If I could ask two quick ones, please. The first one, just interested in how do you assess the prospect of supply chain bottleneck being used to help the market once this crisis eases? And any feedback that you are getting from customers which might actually help the second half of the year’s volumes relative to the first despite a likely recession? And then the second question, back to the subject of aircraft financing. Usually, in these sale-and-leaseback-type transactions, you’ve paid for a lot of the value of the airplane first in pre-delivery payments. And then when the sale-and-leaseback transaction is actually executed, you actually see a cash inflow because of the value being paid by the leasing company. Just interested, will this supply in this structure? And might we see a cash inflow on the back of that transaction because of this? Or do you just avoid the cash outflow based on this structure?
Melanie Kreis: Yes. To the second question, that is really taking away the second half of the payment. So the prepayment we have shown in CapEx, that has been cash out to our free cash flow. And we are now just awarding the second half, so on delivery payments.
Frank Appel: It’s pretty opportunistically. And on the other – maybe I didn’t get the question right. But what I can say is our colleagues around the world have never been more – we never received more positive feedback than now. They are telling us in our internal medias, they are telling us, it’s amazing to see how positive customers are. I don’t know if every logistics company gets such a positive feedback because I don’t know what others are hearing. But what we hear from customers, from small, from private consumers, up to the large corporate year to date, it’s really amazing, what they are telling us in internal. In e-mails, they are sending us in their complements they are making. And that is very rewarding for our people and very reassuring for us as a senior team.
Neil Glynn: Okay. And then just actually, Frank, just a follow-up on that. The question was also trying to just touch on the prospect of pent-up demand that isn’t actually currently being satisfied. Do you feel that a lot of your customers are waiting for the crisis to pass to really then ramp up activity which might help a recovery in trade flows in the second half at all?
Frank Appel: Yes, I think so. They are all waiting and hoping. And it’s too early to judge if we really see a V-shaped recovery. We – in China, we saw a V-shaped recovery. Will that happen in Europe? It’s too only to judge. And it might be different by industry, but there is definitely one scenario is that we will be very much back to normal in second half. And then we are more looking in how can we get more capacity for – of fulfilling the needs of our customers. That’s one scenarifull. Then there might be a scenario that after the summer is over, like always, with the flus, and all these kind of viruses, we have a second wave in the second half. That’s the reason why I said already, we are preparing for such a situation because we are taking our learnings. And as I said in the last call, I think sitting together every morning together the ops people to discuss exactly these kind of things, how we can be well prepared. So these are different scenarios. And of course, what we are doing actually, we are looking into these things, and judge on that base as what does it mean for our CapEx plan? What does it mean for our cost base? And that’s a complex exercise because you can think about different scenarios and you can also look into the different industries. What is very interesting, if you run a company from home, which I have done on a regular basis, you have some time to reach some of the advice of all the consultants. And what is very reassuring is, if I read that, and get these reports from the McKinseys, and you name it, I always said that we are at least one step ahead of these guys. So they are writing down what we have done actually. We started that already mid-February or in February to set up what we should need to protect the operation. And that is – it’s pretty good. I have not read – Melanie is on the liquidity already before we talked about that. And that is what you can read in these reports, where you price, as what do you have to do, you have to be visible, you have to communicate. We are constantly communicating to our organization on all levels. And that is – that’s important for these folks. So – and that makes me very confident that, hopefully, the crisis is over, but then the company will be in very strong shape.
Neil Glynn: Very thanks.
Frank Appel: Good.
Martin Ziegenbalg: Well, thank you very much. I think that concludes the Q&A round. And with that, I’d like to thank Frank and Melanie for their time and sharing their thoughts. We are now looking forward to talk to you and meet you on a virtual conference format, if possible. We, as IR, are looking forward to send out in the next couple of hours, invitations for our virtual tutorials to keep you abreast in how the business continues to develop. And it’s not all on COVID, but also on other things we are doing. Digitalization continues to be an important theme. So looking forward to be in touch with you then. And with that, I’d like to say thank you and goodbye.
Melanie Kreis: Thank you.
Frank Appel: Thank you. Bye-bye.